Operator: And ladies and gentlemen please stand by. Good day, and welcome to the Ryerson Holdings Corporation's Third Quarter 2022 Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Jorge Beristain. Please go ahead.
Jorge Beristain: Good morning. Thank you for joining Ryerson Holding Corporation's third quarter 2022 earnings call. On our call, we have Eddie Lehner, Ryerson's President and Chief Executive Officer; Mike Burbach, our Chief Operating Officer; Jim Claussen, our Chief Financial Officer; and Molly Kannan, our Chief Accounting Officer and Corporate Controller. John Orth, our Executive Vice President of Operations, will also be joining us for Q&A. Certain comments on this call contain forward-looking statements within the meaning of the federal securities laws. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from those implied by the forward-looking statements and are not limited to, those set forth under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2021. Our quarterly report on Form 10-Q for the quarter ended September 30, 2022, and in our other filings with the Securities and Exchange Commission. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made and are not guarantees of future performance. In addition, our remarks today refer to several non-GAAP financial measures that are intended to supplement but not substitute for the most directly comparable GAAP measures. A reconciliation of non-GAAP to the most directly comparable GAAP financial measures is provided in our earnings release filed on Form 8-K yesterday, also available on the Investor Relations section of our website. I'll now turn the call over to Eddie.
Edward Lehner: Thank you, Jorge, and thank you all for joining us this morning to discuss our third quarter 2022 results. I want to start by expressing my heart phone [ph] appreciation to our 4,000-plus strong Ryerson team for their hard work and continued dedication toward delivering a safe work environment while working with great passion on delivering great customer experiences. This year and this month, we celebrate Ryerson's 180th anniversary as a company, a rare milestone for any business. As we celebrate and embrace our long and distinguished history, it is the present and future vision we have for Ryerson that we believe has so much to offer to all of our stakeholders. That vision is simply stated as delivering great customer experiences across the industrial metals landscape with speed, scale, value-add, enjoyment and consistency throughout our network of intelligently connected industrial metals service centers. As we estimate that there are more than 25 million of these experiences to be provided annually in our part of the industry, there is significant opportunity and growth available to Ryerson in providing the best customer experience in our competitive space. Additionally, we continue to innovate, grow and invest for the future by adding new capabilities, modernizing our facilities, providing new value-added services to our customers and growing our family of companies. This was on full display throughout the quarter as we continue preparing two new state-of-the-art service centers to come online in Centralia Washington and University Park, Illinois in 2022 and 2023, respectively, while also acquiring powered precision aluminum in August of this year. This is in addition to acquisitions made earlier in the year when we acquired Apogee Steel Fabrication and Ford Tool steel while making a strategic investment in additive manufacturing company, preform technologies. I am also pleased to welcome Excelsior Metals for the Ryerson family of companies as we announced via press release this past Tuesday. This is in addition to investments we have made in growth CapEx around productivity and quality, enhancing our machinery and equipment capabilities as well as ongoing investments in digital infrastructure and future state customer experience systems from quoting to final mile delivery. We'll get to the counter cycle in a minute, but wanted to illuminate the actions we're taking to improve through the cycle earnings potential and preparing Ryerson for the next upturn. Bringing it back to the third quarter of 2022, we recognized and responded skillfully to the unmistakable conditions marking the onset of an industry counter cycle. We managed expenses well. Inventory management is progressing toward our targets and replacement cost gross margins are tracking higher than average cost gross margins. I would note that through my time with Ryerson, this is my fourth counter cycle. And although each one is unique in its own way; we have excelled as an organization in better Ryerson through every one of them. This counter cycle now underway is showing significant dollar strength, commodity price reversions, transient average cost gross margin compression, inventory destocking, reduced mill operating rates and demand declines as the world continues wrapping with extremes, distortions, shortages and excesses engendered by the pandemic, war, climate geopolitics as well as asynchronous and contrasting policy choices that have all mixed together into a strange and erratic brew of economic conditions. As we have done before, we are and expect to continue generating healthy countercyclical cash flows while investing through the counter cycle in preparation of the next industry upturn while having the welcome benefit of not needing to refinance or raise high-yield debt as we did during the past 3 counter cycles of my tenure with Ryerson. It makes all the difference as our balance sheet is strong, we are investing wisely in support of our strategic plan and returning capital to shareholders. As counter cycles tend to galvanize our immediate attention, we want to reaffirm our view of the positive and enduring secular drivers supporting the primacy of recyclable and sustainable industrial metals as those secular drivers supporting long-term industrial metals demand haven't gone anywhere. If anything, given that demand was not satisfied due to supply chain breakdowns, not yet fully repaired and healed, the demand deficit continues to grow as sustainable demand momentum was game packed by supply side induced inflation that is being combated by the most aggressive interest rate hikes in 40 years. Taking a more holistic view of things tells us that commodity inventories are still historically low, reinvestment in mining and refining of industrial metals is still inadequate, and commodity prices are again nearing or already below their cash cost curves given overall cost of production and reinvestment hurdle rates. That is to say nothing about the many logistical network breakdowns that occurred over the past 3 years, including now impaired water levels on the Mississippi River and [indiscernible] transportation significantly, and it all leaves us right back to the need for greater sustained investment in fixed assets requiring industrial metals. Add to that, emerging trends in onshoring, nearshoring and friend-shoring given rapidly shifting trade paradigms along with fiscal investments in infrastructure, climate remediation and semiconductor manufacturing and the case for secular industrial metal demand optimism and Ryerson optimism holds up very well. With that, I'll now turn the call over to Mike to further discuss the pricing and demand environment.
Michael Burbach: Thank you, Eddie, and good morning, everyone. I want to start by thanking our team for continuing to prioritize a safe environment as well as creating a culture of partnership with our customers and suppliers to address their needs throughout the business cycle as well as anticipate where our services, equipment and capabilities can add value. As Ryerson continues to grow and invest in our business, -- our employees are the backbone building a path to the future. Ryerson 's third quarter sales volume of 512,000 tons was representative of traditional seasonal patterns. As the quarter progressed, we witnessed some relief at many end customers as supply chain constraints eased and lead times for material shortened. This easing was countered by overall demand softening in the U.S., evidenced by key industry indicators. U.S. industrial production continued the trend of deceleration through the third quarter. Additionally, as an indicator of new order demand, the U.S. Purchasing Managers' Index, or PMI, while still above the growth threshold of 50 reported continued slowing growth in factory activity in September. In the third quarter, this decelerating demand environment was evidenced by the previously referenced slowdown in industrial production. In addition, factors such as normalizing supply chains and inventory flow as well as excess international supply have led to supply and demand dynamics changing from the start of the year, which have influenced declines in industrial metals pricing. The metals commodity prices underlying our metals products mix experienced a decline of approximately 4% to 23% over the quarter, depending on the commodity due to the factors just mentioned. The decrease in prices of our metals mix led to a 9% sequential decrease in our average sell price to $3,014 per ton which was outside of our guidance range of a sequential pricing decrease of 5% to 8%. Turning to end markets. Ryerson did see a 5% increase in our consumer durables and a 2% increase in the HVAC sectors, which were more than offset by our sequential volume shipment decrease across effectively all other end markets. Our expectations for North American manufacturing for the fourth quarter of 2022 is a continuation of the current business conditions, driven by headwinds of rising interest rates, higher inflation as well as slowing demand. Our discussions with customers lead us to believe that while supply chain constraints are gradually resolving with the economic uncertainty and approaching holiday season companies are destocking. Finally, I would like to take the opportunity to welcome Howard Precision Metals and Excelsior Metals to the Ryerson family of companies. Howard operating out of Milwaukee, Wisconsin is a high value-added service center that provides precision cutting services and has been in operation for the past 80 years. Excelsior operating at Fresno, California is a full-service fabrication company with advanced processing capabilities and has been operating for the past 26 years. Both companies are a great fit into our current offering and help us expand into new areas of growth. We are very excited about the future we will create together. With that, I will turn the call over to Jim for our fourth quarter outlook.
James Claussen: Thanks, Mike. Good morning, everyone. We are a stronger company today than at any time in the recent past. With our balance sheet transformation now allowing us to meaningfully reinvest cash for growth as well as increasing returns to shareholders. Looking forward to the fourth quarter, we do expect both volume and pricing to continue trending lower as well as being impacted by normal seasonal softness with a lower number of shipping days sequentially and typical holiday shutdowns. As such, we expect fourth quarter revenues to be in the range of $1.25 billion to $1.3 billion, with average selling prices down 7% to 10% and sales volume is expected to be down 8% to 10%. Based on our expectations, we forecast adjusted EBITDA for the fourth quarter of 2022, excluding LIFO, in the range of $40 million to $44 million and earnings in the range of $0.70 to $0.78 per diluted share. In the fourth quarter, we expect LIFO income of approximately $20 million. In the third quarter, we generated $152 million of operating cash and ended the period with $477 million of total debt and $426 million of net debt, a decrease in net debt of $66 million compared to the second quarter. EBITDA generation, coupled with a net working capital release of $76 million drove the strong cash generation. Our working capital release was driven mainly through an inventory release of $84 million. For the quarter, accounts receivable and accounts payable reductions due to the lower price environment, mostly offset. As a reminder, lower metal prices and receding demand imply generation of countercyclical cash flow as our higher cost inventory values come off our balance sheet and are replaced by lower cost of inventory. Overall, Ryerson's leverage ratio remained flat quarter-over-quarter at 0.5x, a record low since our IPO in 2014, and the company's available global liquidity remained strong at $906 million. As part of our reduction in debt during the quarter, we redeemed the final remaining $50 million outstanding of our 8.5% senior secured notes using a special redemption feature. Related to this redemption, the company incurred a $1.5 million loss on the retirement of the high-yield debt, which is nonrecurring. The retirement of our high-yield debt this year is expected to save Ryerson over $25 million in annualized pretax interest. Capital expenditures were $28 million in the third quarter, and we are on track to complete our anticipated capital expenditures, excluding acquisitions, of approximately $100 million for 2022. This amount comprises both maintenance and growth projects, including the service center modernizations in Centralia, Washington and University Park, Illinois. During the third quarter, Ryerson returned $6.4 million to shareholders in the form of share repurchases and dividends. In the period, we repurchased approximately 34,000 shares of our common stock, returning approximately $1 million to shareholders under our new 2-year $75 million share repurchase authorization, which we expect to continue to deploy opportunistically. Finally, we announced a fourth quarter cash dividend of $0.16 per share, which is the fifth consecutive increase in our quarterly dividend. With this, I'll turn the call over to Molly to provide further detail on our third quarter financial results.
Molly Kannan: Thank you, Jim, and good morning, everyone. In the third quarter of 2022, Ryerson recorded net sales of $1.54 billion, which was at the higher end of our guidance range. In the same period, gross margin of 17.6% was driven by cost of goods sold, reflecting the consumption of higher cost of materials through our metals mix, while average selling prices declined at a faster pace. Included in gross margin is LIFO income of 21.1 million. On the expense side, warehousing, delivery, selling, general and administrative expenses increased 2% to 186.5 million, primarily driven by higher compensation and benefits expense. For the third quarter, net income attributable to Ryerson was 55.1 million or $1.46 per diluted share. This includes a charge on the retirement of debt of 1.5 million and a 0.6 million gain on bargain purchase. Excluding these onetime items and the associated income taxes, adjusted net income attributable to Ryerson was 55.8 million or $1.48 per diluted share. In closing, Ryerson achieved adjusted EBITDA, excluding LIFO, of $79 million and generated $124 million in free cash flow in the third quarter of 2022. And with this, I'll turn the call back to Eddie.
Edward Lehner: Thank you, Molly. At Ryerson, our mission is to create great experiences for our customers, employees, shareholders, suppliers and communities. Our ongoing development of an investment in an intelligent network of value-added industrial metals service centers, delivering industrial metal solutions with joy, speed, scale and consistency is the core of these efforts. The world of today and tomorrow that provides for a better quality of life and broader-based prosperity will be largely created and built with recyclable and sustainable industrial metals. That is why metal matters as you'll experience when visiting us at ryerson.com, and why the build now movement at msci.org are so vital and imperative. Let's keep progressing together. And as one more reminder, we would be delighted for you to join us for our inaugural Investor Day event on November 8 in person at the NYSE or online at ryersoninvestorday.com. Please reach out to our Investor Relations team to reserve your spot. With that, we look forward to your questions. Operator?
Operator: [Operator Instructions] And we will begin with Katja Jancic with BMO Capital.
Katja Jancic: Can you discuss how you see your gross profit margin over the next few quarters, specifically, when do you think it could stabilize? And what needs to happen for the margin to start to expand again?
Edward Lehner: This is Eddie. I thought you did a really nice job on the write-off in your summary paragraph. I think you did a good job describing the quarter. In terms of -- I got to tell it like it is. In terms of countercyclical gross margins and how those behave, we've seen this over and over again as we've gone from cycle to counter cycle and as those average selling prices peak and then start to head down, there's always that lag in terms of cost of goods sold and how those climb over time before those plateaus. So if you think about sign curves and how that phase kind of looks, it's about a 2- to 4-quarter event. We're already two quarters into it. First, you see the spot transactional book adjust pretty quickly in terms of ASP falling on a spot transactional basis and then your contract program accounts, which have lags in the pricing formulas that are associated with those accounts, those tend to come down after that. So when you look at the aggressiveness of margin compression in the quarter, I mean, the upside of that is -- it means we get through it that much faster when we see that kind of aggressiveness in the fall in carbon, aluminum and stainless have been a little bit more, I would say, paused and paced as those commodity indexes have come down and even move sideways with some volatility. So 2 to 4 quarters to pretty much get through it, and then we look for average cost to then intersect with replacement cost. And then replacement cost starts to move up ahead of average cost and then we get margin expansion again. So that's -- those are the mechanics of how that works. The good news is our replacement margins in our spot transactional book are tracking well ahead of average cost margins. So that's a good, healthy sign as we move through the counter cycle.
Katja Jancic: And the spot or transactional business, that is about half of your book, right?
Edward Lehner: That's correct.
Katja Jancic: Just if I may, one more question. You generated very strong countercyclical free cash flow. And as you mentioned, this should continue, at least in the near term. You significantly improved your balance sheet by paying down debt over the past couple of years. Can you discuss what your capital allocation priorities are specifically in this countercyclical environment?
Edward Lehner: Yes, absolutely. When I was just doing my prep for the call, I went back over the last 8 years. And so I think it's a noteworthy accomplishment. Our free cash flow yield over 8 years has been about 22%. We're projecting free cash flow yield to be 23% when we factor in 2022 year-to-date. If we look at year-to-date free cash flow yield, that's 26%, which is 13x the free cash flow yield of the S&P. So I would say that, that's not a -- it's not an impressive feat, if you will. So when we look at our ability to generate countercyclical cash flow as a well-managed company, I would expect that to continue the good news is as we see our legacy liabilities and the servicing of those legacy liabilities coming down as we see our interest costs coming down significantly our cash interest cost, we've shown, I think, an ability now to return capital to shareholders in the form of increasing dividends, share buybacks, and you can look at the magnitude of our CapEx and the way we're spending it to modernize our facilities, modernize our systems, investing a lot in the customer experience and putting a lot of seeds in the ground for that next harvest and that next upturn, which we're all looking forward to expect to execute very well upon. I'm going to kick it over to Jim Claussen, our CFO, and he gave you a little bit better idea of the ratios of how we're going to allocate that free cash flow going forward.
James Claussen: Yes. Thanks, Eddie. Katja, I think really, Eddie gave you a really complete answer. And as we look going forward, we did just roll out a new $75 million share repurchase program last quarter after exhausting the first $50 million program, raised the dividend up to $0.16 after instituting the dividend last year. So really pivoting away as we've talked about from some of the debt service cost to shareholder repurchases. And then on the CapEx side, really continuing to drive those good growth initiatives, both for value-add processing and automation...
Edward Lehner: Katja, I would just depend on that. I think as the quarters go forward, now that we're in a much different place. We're in a much better place as we referenced in the script and in our release in terms of how much free cash flow we generate and how we put those free cash flows to use. And I think if you look at the amount of shares that we bought back in the last year with the dividend, with the increased dividend, some acquisitions we've done (technical difficulty).
Operator: And pardon the interruption, we lost audio from the speaker's line.
James Claussen: Yes, this is Jim Claussen, I think we just lost that one line that Eddie was on...
Operator: [Operator Instructions] Eddie, you have rejoined the conference. We see your line established. Please continue.
Edward Lehner: Sorry about that. We had a technological glitch apparently, which goes -- it really supports our case for more infrastructure spend. So we certainly just got another signal that we need to invest a lot more in our infrastructure, in our physical infrastructure. So back to the answer. I think if you look at this year, it's really -- it's a good example, and it's a good benchmark for us. If you look at this year, we fulfilled our buyback authorization ahead of time, which was $50 million. We put in a new authorization. We increased the dividend. So when you look at the amount of cash interest we have to pay with pension, maybe that looks like 35 million going forward, just given where we expect ABL balances and interest rates. If you look at our CapEx, which is tracking, I think as we noted, it's tracking at about 100 million this year, you look at the business development and M&A work we've done this year so far. We've certainly made significant investments. We have the liquidity and free cash flow to do that. And I think as the quarters go forward, we'll get into more of a -- I would say we'll get into more of a steady state in terms of how we allocate those free cash flows between legacy needs, creditor needs, shareholder returns and investment. But certainly, this year, the focus was more on investment and growth. Certainly, a good time to do it through the counter cycle when you have this kind of liquidity and free cash flow. But we certainly did not skimp on shareholder returns, if you look at what we've done there. And we certainly take advantage of this really good place that we're at with respect to lower cash interest expense and lower legacy liability payments.
Operator: We'll hear from Samuel McKinney with KeyBanc Capital Markets.
Samuel McKinney: Sam McKinney on for Philip Gibbs. Revisiting margins, with gross margins falling to around 18% in the third quarter, if you could walk us through which products that sequential gross margin pressure was the most acute in the third quarter? Or was it more across the board?
Edward Lehner: It was more acute in carbon. As we look at our carbon program book of business and spot transactional business, and that's where you saw the greatest move in the commodity indexes was in the CRU and in the Carbon Futures Index on the CME. So carbon really was the primary call for this quarter, but we saw margin compression across the board in aluminum and stainless as well, which is really happening at a slower pace on the nonferrous side but still happening. If you look at carbon, the moves in carbon, even though carbon is still trending lower, I think the big moves are pretty much behind us in carbon. I think you could argue that if carbon goes down much further, you're going to be back in the cash cost curves around the world, even with the fall in iron ore prices. So it could still trend lower based on soft demand, global recessionary conditions. But I think we're closer to the end of disinflation in metals than we are at the beginning.
Samuel McKinney: Okay. And then on the demand front, what are you hearing from your key industrial OEMs? Are they starting to destock inventories at this point?
Edward Lehner: Yes, we're seeing destocking. We're seeing this transition between, I would say, breaks in demand or demand that could not be fulfilled because of supply chain interruptions and supply chain breakdowns. There's still some of that actually going on, but it's certainly lessening as we move into this counter cycle. And now you're seeing customers adjust their inventories based on order rates. Even though demand in this last couple of years, I don't think came close to being fulfilled. But I'm going to kick it over to Mike Burbach. He's going to give you a little bit more detail and color as to what happened within our specific verticals and end markets.
Michael Burbach: Thanks, Eddie. Yes, I think Eddie hit the high point is pretty good there. It's really a mixed bag what we're hearing now. There's the uncertainty that's out there, be it inflation related, be it supply chain challenges, labor issues, whatnot, really doesn't necessarily allow us to put a blanket statement than any one area because we'll hear about certain industries, certain customers with strong backlogs, anticipating activity to improve and then we learn after the fact that one of those impacts either caused the backlog to change and/or unable to make the production that they had anticipated. So you could just take that theme and kind of apply it to most sectors that we do sell into. The forecast, as we hear what people are talking about is also mixed. There's -- people are talking about pretty strong opportunities into the future in ag-related equipment. I think there's a mixed story in Class 8 type equipment. [indiscernible] was talking about larger builds next year. But all these things when put in concert with the factors that he laid out with supply chain challenges, inventory corrections really is a little cloudy. I would say I'm cautiously optimistic, but the -- I think those realities have to be considered.
Samuel McKinney: Okay. And then lastly for me, with operating expenses up just a little bit in the third quarter. Are you starting to see that inflationary OpEx subside into the fourth quarter? And what are you seeing on the labor front?
Edward Lehner: Yes. So when we look at some inflationary forces that are inevitably going to find their way into our OpEx or really anybody's OpEx. When we compare ourselves to the producer price index year-over-year, I think we did a really -- I think we did a fine job managing expenses as we've done, I think over the last 10 years. That said, I mean, we find ourselves in the most inflationary type environment that we've seen in the last 10 years. So we've done a good job, I think, of managing those costs and variabilizing our cost structure. We are seeing -- even though diesel costs are up, we're seeing overall freight rates come down. We're starting to see supplies expense come down. So I would say that in our world, we feel that we've seen a peak around OpEx and we're starting to see those OpEx supply costs come down. Labor is still tight, skilled labor is still tight. And with the low unemployment rate and with manufacturing activity still being strong and elevated enough to sustain that tightness. I would say the market for skilled operating labor is still tight, and I would say it's still inflationary. But I'm going to kick it over to John Orth and you can give you a little bit more color on that.
John Orth: Thanks, Eddie. Eddie's comments are right on target around OpEx and inflation. As Jim mentioned, the majority of our inflation was around comp and ben in the prior quarter. Our teams out in the field have really done a great job of looking at how we can control and manage through the inflationary challenges, especially on operating supplies where we have had a renewed focus on reusing recycling, sharing of supplies. And in particular, from an OpEx perspective, our fixed OpEx was flat quarter-over-quarter, but our variable OpEx decreased quarter-over-quarter, about 7%, which is really reflective of where we believe we've seen the high point in these inflationary pressures on the operating supply side, and now we have to continue using our tools and sharing the best practices to continue to manage that down.
Edward Lehner: I would say… Sam, I would say over the medium to longer term, if you look at the type of investments we're making, we're making investments in productivity in automation. We're looking to modernize our network. And those are all things that are going to bring down that inflationary curve over time and also really improving the employee experience at Ryerson where everybody benefits from that. So I think our investments are well directed and well placed. And so, in the short term, we're managing inflation well. And I think over the medium to long term, those investments are going to bear fruit as to how we bring down that inflation curve over time.
Operator: [Operator Instructions] With no additional questions today. I'll turn the call back to your host for any additional or closing remarks.
Edward Lehner: Thank you for your continued support of and interest in Ryerson. Stay safe, be well, and we wish you all a happy and meaningful holiday season and look forward to being with you again in early March of next year for our fourth quarter and full year earnings release and conference call.
Operator: Ladies and gentlemen, this will conclude your conference for today. Thank you for your participation, and you may now disconnect.+